Operator: Greetings. Welcome to Natural Health Trends Corp. Second Quarter 2025 Earnings Conference Call. [Operator Instructions]. Please note, this conference is being recorded. I will now turn the conference over to Michelle Glidewell with Natural Health Trends Corp. Thank you. You may begin.
Michelle Glidewell: Thank you, and welcome to Natural Health Trends Second Quarter 2025 Earnings Conference Call. During today's call, there may be statements made relating to the future results of the company that are forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Actual results, performance or achievements could differ materially from those anticipated in such forward-looking statements through to the result of certain factors, including those set forth in the company's filings with the Securities and Exchange Commission. . It should also be noted that today's call will be webcast live and can be found on the Investors section of the company's corporate website at naturalhealthtrendscorp.com. Instructions for accessing the archived version of the conference call can be found in today's financial results press release which was issued at approximately 9:00 a.m. Eastern Time. At this time, I'd like to turn the call over to Chris Sharng, President of Natural Health Trends.
Chris T. Sharng: Thank you, Michelle, and thanks to everyone for joining us this morning to discuss our second quarter 2025 financial results. With me today is Scott Davidson, our Senior Vice President and Chief Financial Officer. . Second quarter net sales were $9.8 million, a 6% decrease compared to the second quarter of 2024. It was a challenging quarter due to heightened economic uncertainty because of the evolving trade tensions that continue to weigh heavily on consumer sentiment in our biggest market. Facing an increasingly uncertain global trade environment, we are actively transitioning our U.S.-based supply chain to trusted manufacturing partners in Asia, closer to our main markets. We aim to reduce exposure to unpredictable tariffs, streamline logistics by consolidating vendors and transportation lanes and to lower logistic costs. In addition, this move enhances our access to specialized R&D resources and technical support while allowing us to maintain strong quality control standards. We believe this strategic realignment positions us to better serve our customers, mitigate risk and drive long-term value creation. Around the world, we continue to execute our programs, promotions and incentives designed to drive engagement, enhance customer loyalty and support our sales performance. During the quarter, we celebrated the achievement of top performers from multiple markets with incentive trips to the Maldives and Paris. We also executed a dynamic slate of in-person regional and local engagements including training sessions, product seminars, leadership development programs and initiatives focused on driving customer acquisitions and retentions. Earlier this month, we celebrated the official launch of our newest market, Colombia. The grand opening event was well attended and filled with energy, reflecting strong enthusiasm for growth across South America. We are excited to welcome Colombia to our global network and are confident that our proven high-impact products will support healthier lifestyles while also offering individuals the opportunity to build meaningful income and a brighter future. As these economic headwinds persist, we're exercising operational discipline with a continued focus on expense management, protecting margins, inventory control and, as previously mentioned, supply chain recalibration to mitigate tariff uncertainty. Despite near-term pressures, our long-term fundamentals remain strong. We're investing in our brand programs incentives, product innovation and digital enhancements to drive recovery and future growth. We're actively listening and engaging with a few leaders and customers and adjusting tactics to ensure we remain resilient. With that, I'd like to turn the call over to our CFO, Scott Davidson, to discuss our financial results in greater detail. Scott?
Timothy Scott Davidson: Thank you, Chris. Net sales in the second quarter were $9.8 million, a decline of 6% compared to $10.5 million in the second quarter a year ago. Our sales in Hong Kong, which made up 82% of our sales during the quarter, declined 5% year-over-year, due to the heightened economic uncertainty that Chris mentioned. Gross profit margin of 73.9% in the second quarter, was relatively consistent with the second quarter last year. Commissions expense as a percent of total sales for the second quarter were 40.9% compared with 40.1% a year ago. Commissions expense increased primarily due to higher weekly commissions earned by our members during the second quarter of this year. Selling, general and administrative expenses declined $235,000 to $3.6 million for the quarter from $3.8 million in the second quarter a year ago. As a result, operating loss for the quarter was $333,000 compared to $238,000 in the second quarter last year, and net income for the second quarter totaled $15,000 or breakeven per diluted share compared to $173,000 or $0.02 per diluted share in the second quarter of 2024. Now I'll turn to our cash flows and balance sheet. Net cash used in operating activities was $5.2 million during the first 6 months of 2025 compared to $3 million during the comparable period a year ago. Excluding our required annual tax installment payments related to the 2017 U.S. Tax Cuts and Jobs Act, we used $97,000 in cash flows from operations during the current year period. compared with cash generated from operations of $950,000 during the same period a year ago. Total cash, cash equivalents and marketable securities were $34.2 million at June 30, down from $41.9 million at March 31 due to our required tax installment payment of $5.1 million in our quarterly dividend payment. Our tax liability related to the Tax Cuts and Jobs Act is now fully settled. In regards to our quarterly dividend, I am pleased to announce that on July 28, our Board of Directors declared another cash dividend of $0.20 per share, which will be payable on August 22 to stockholders of record as of August 12. In closing, we remain focused on executing our strategic priorities with discipline. Our ongoing supply chain transition is a key part of the strategy, designed to shield the business from tariff uncertainty improve cost efficiencies and enhance our resilience in today's challenging and unpredictable economic environment. We are confident that the successful execution of these initiatives will position us for continued progress and value creation. On behalf of our leadership team, I want to express our sincere gratitude to our dedicated [ field leaders ], loyal customers and shareholders for their continued support. That completes our prepared remarks. I will now turn the call back over to the operator.
Operator: Ladies and gentlemen, thank you for your participation. This does conclude today's teleconference. Please disconnect your lines at this time, and have a wonderful day.